Operator: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to Liberty Global's Second Quarter 2025 Investor Call. This call and the associated webcast are property of Liberty Global, and any redistribution, retransmission or rebroadcast of this call or webcast in any form without expressed written consent of Liberty Global is strictly prohibited. [Operator Instructions] Today's formal presentation materials can be found under the Investor Relations section of Liberty Global's website at libertyglobal.com. As for today's formal presentation instructions will be given for a question and answer session. Page 2 of the slides details the company's safe harbor statement regarding forward-looking statements. Today's presentation may include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including the company's expectations with respect to its outlook and future growth prospects and other information and statements that are not historical facts. These forward-looking statements involve certain risks that could cause actual results to differ materially from those expressed or implied by these statements. These risks include those detailed in Liberty Global's filings with the Securities and Exchange Commission, including its most recently filed Forms 10-Q and 10-K as amended. Liberty Global disclaims any obligation to update any of these forward-looking statements to reflect any change in its expectations or in the conditions on which any such statement is based. I would now like to turn the call over to Mr. Mike Fries.
Michael Thomas Fries: All right. Thank you, operator. Hello, everyone. We appreciate you joining us today for our second quarter results call. I hope your summer is off to a great start, wherever you may be. As you know, by now, we try to keep these calls fairly consistent, which means I've got my key leadership team on here with me. And as soon as Charlie and I finish with the prepared remarks, we'll get right to your questions. Now we do speak from slides, and I'm going to get us started on Slide 3 with some highlights, really, I think, the key messages from the quarter. And the first point should not be a surprise to anyone on this call. When you cut through it all, this management team, this Board remain 100% focused on creating and delivering value for shareholders. We do that through three core platforms, Liberty Telecom, Liberty Growth and Liberty Services. Beginning with Liberty Telecom, where our goal is to drive commercial momentum and unlock value for you as we did with our Swiss subsidiary, Sunrise. I'll come back to how we might do this at the end of my remarks, but let me first make some operational comments. I think the main takeaway here is that our markets remain highly competitive with new entrants like Altnets in the U.K. and low-cost providers, typically MVNOs, impacting both gross adds and churn. In the face of these headwinds, our subscriber results are mixed with some markets seeing improved churn and green shoots and others facing continued pressure in both sales and net adds. Despite these challenges, we're performing reasonably well financially, delivering revenue and EBITDA in line with guidance expectations, and that's helped in part by price increases and strong ARPU results. Not surprisingly, every market is employing similar strategies to drive commercial momentum using fixed mobile convergence or FMC and flanker brands to support mobile sales, AI- based retention and marketing tools to improve churn and speed upgrades and loyalty programs to bolster NPS and harden the base. We're also committed to having the highest quality networks everywhere we operate. And to that end, our fiber and 5G upgrade plans are on track. We've acquired spectrum in the U.K., which will be very beneficial, and we recently expanded our footprint in the Netherlands. We're also focused on monetizing these networks where and when we can. And we have both tower and fiber transactions planned for the second half of the year to support growth and de-leveraging. I'll talk about those. Now moving to Liberty Growth. Our strategy here also remains the same. Today, our portfolio is worth $3.4 billion, representing a small increase from Q1, primarily driven by additional investments and favorable FX movements. And this is a highly concentrated group of assets. I know we keep telling you that. I think it's important to remind folks, the top 6 investments comprise over 80% of the value here, 3 investments in media, 2 in infrastructure, and that's along with our tech portfolio. The goal moving forward is simple. We want to rotate capital into higher return investments in sectors that have tailwinds and where appropriate, use some of that capital for accretive transactions at Liberty Telecom like we did with Sunrise. Now our guidance for the year is to sell assets totaling $500 million to $750 million -- we believe this is achievable, but of course, we won't sacrifice price just to get to an end date. In other words, if it takes us into Q1, for example, that should be fine. Along those lines, we've exited our position in Vodafone, which netted around 10% to 15% of the goal. Happy to take questions about that. Now jumping into a couple of updates. I could not be more excited about Formula E's progress this season. Our London race last weekend capped off an extraordinary year. And you may have seen that we just announced an extension to our exclusive license with the FIA covering all electric single-seater racing through 2053. 30 years is a lifetime in this sport, especially with the step changes we are seeing every two years in the speed and performance of these cars as well as the growth in fans around the world, which now total 400 million. Now finishing up on Liberty Growth, our commitment to digital infrastructure continues to expand, both through investments in businesses like AtlasEdge and the value attributable to existing assets like EdgeConneX, a data center platform and one of our largest and most successful investments to date. And I'll finish up on this slide, a few comments on our service platforms and corporate operating model. Trust me, when analysts deduct $8 to $10 per share of your stock price for this stuff, it's worth a minute or two. I'll start with Liberty Bloom, which delivers a multitude of business solutions for 36 enterprise customers, over 1/3 of which are external to the Liberty family. This new division is on track to exceed $100 million of revenue and generate positive EBITDA this year. I'm excited about the organic and inorganic growth plans at Blume, which is a great example of how we're taking corporate capabilities and turning them into valuable enterprises. I can tell you, Charlie's goal is to build a $1 billion company here to which I say, go get it. Similarly, our Liberty Tech platform generates $475 million in revenue and has been driving ever-increasing profitability over the last few years with sophisticated outsourcing arrangements. I think we've been updating you on these, but you may or may not have paid attention. These arrangements keep our team in control of IP and product development, but they reduce our cost to serve. And there could be more of these types of deals down the road. Perhaps most importantly, we've been acutely focused on our own net corporate costs. Our guidance for the year was to spend a bit less than $200 million when you add it all together, and we are today improving that guidance by at least $25 million as we begin to reshape our operating model. And this is really a good new story, and you should stay tuned for more information throughout the rest of the year. We're confident we can continue to optimize this number through both revenue generation and strategic reshaping. Finally, at the end of the quarter, our cash balance was $1.9 billion. We bought back about 3% of our shares and depending on asset sales, we expect that cash figure to be higher at the end of the year. So with that as background, I'm going to spend a few minutes double-clicking on our telecom business before handing it over to Charlie for the numbers. Now I'm on Slide 4, which presents some key headlines for each operation, starting with Virgin Media O2, where we're really excited to be nearing the completion of our merger with Daisy, which will create a B2B powerhouse in the U.K. and the second largest solutions provider to small and medium enterprises with GBP 1.4 billion of revenue and EBITDA of GBP 150 million. As with most of our deals, synergies are substantial with an NPV of GBP 600 million, including integration costs, and that's based on an annual run rate savings estimate of around GBP 70 million by 2030. So this is a great deal. On the mobile front, VMO2 recently closed on the purchase of 80 megahertz of spectrum from VodafoneThree that was following the completion of their merger and part of that deal. And this brings our share of spectrum in the market to 30%, which is really significant. It secures our competitive position in the mobile market for a very long time. And then finally, Lutz and the team are hard at work driving commercial momentum, including a customer service transformation plan that has more than halved Virgin Media complaints year-over-year. That's an incredible achievement. Also, he is been working on product enhancements like data rollover on O2 premium plans and multi-SIM capabilities for the Volt proposition. So a lot of work going on here. I'm sure there'll be plenty of questions on the U.K. So let me move to VodafoneZiggo, where, as I mentioned, we're starting to see some green shoots as a result of management's strategic pivot in the market. And I'll come back to this on the next slide. On the M&A front, the sale of our Dutch towers is progressing well, and we anticipate completion in the second half with proceeds likely to be used to de-leverage the business. And then finally, we announced a great deal with Delta in the market. That gives us access to another 600,000 homes, greenfield homes really off-net in the South. That makes us a true nationwide operator. In Belgium, we continue to make good progress with Proximus on a fixed network sharing deal. I'll touch on this in a moment, but it's really shaping up to be a great example of regulators seeing the bigger picture on the need for infrastructure investment. Two more quick headlines here in the south of Belgium, our launch of BASE over a year ago continues to perform well and unlock 2 million greenfield homes in that part of the country. And after a material investment in 5G over the last three years, I'm sure you've been following that, it was great to see Telenet recognized by the government as providing the best 5G coverage in Belgium, both indoor and outdoor. So well done, John and the team. And then in Ireland, we're racing towards completion of our full fiber rollout. with 80% coverage expected by year-end, with the balance built in the first half of next year. Both with DOCSIS and with fiber, we are the speed leader throughout the country. We recently launched Ireland's first 5 gigabit fiber broadband service. And importantly, we also just added our third wholesale fiber customer in this market. So after Sky and Vodafone, that helps to bring our utilization on the fiber network to 16%, which is great as we've just gotten started. And then finally, we're picking up momentum in mobile in Ireland with the launch of our EUR 15 For Life offer in May, an opportunity for us to be disruptive. Now okay, just three more slides before I hand it to Charlie. I want to be sure that we provide a bit more detail on two significant strategic developments in the Benelux region. Beginning in the Netherlands, where our last call, I think we outlined Stephen and the management team's new strategic and operating plan for the Dutch market. The plan is organized here on Slide 5 into 4 core initiatives. And I'll touch on each briefly. Suffice to say things are coming together well. Beginning with the recent implementation of a more agile operating model, and that's been characterized by exactly what you'd think you'd see, simplified processes, accelerated decision-making, optimized costs and all that will result in significant OpEx savings, but more importantly, a more competitive posture vis-a-vis KPN. And mostly, as Stephen has instilled a culture of winning and pride across the organization. That's exactly what we needed here. I love that. Second major initiative revolves around repositioning broadband pricing, which happened in April. And after one month, really a 1-month lag, May and June saw a 50% improvement in churn intent compared to April. That's supported by moving to a 24-month contract, but so far, so good. Those are green shoots. Above all else, it was particularly important to finalize a clear network strategy in this market. Analysts have penalized us forever based on what I think is a false belief that we need to build fiber here. Let me be clear, and HFC network at Holland is incredibly robust today and capable of lightning fast broadband speeds tomorrow. So perhaps to put a pin in it, we will maximize the 1 gig speeds we have today across the HFC footprint. We will aggressively roll out 2 gig speeds using the current DOCSIS 3.1 technology, and we will accelerate our upgrade of DOCSIS 4.0 with 8 gig speeds expected in 2026. It might also be worth reminding everyone that the cost of DOCSIS 4.0 in the Netherlands, including the 1.8 gig network upgrade is 90% cheaper than building fiber. 90%. So a pretty clear decision there. And lastly, the team is reinvesting in VodafoneZiggo's core strengths, in particular, our brands, our loyalty programs, our FMC propositions. This has come to life with things like a new WiFi guarantee, the relaunch of the Vodafone brand and a renewed investment in our flanker brand. So hopefully, that gives you a slightly deeper understanding of the organic plans the team are busy rolling out, all of which have given us more optimism about 2026 and beyond in Holland. And next, just a quick update on Belgium and in particular, our discussions with Proximus to rationalize fixed networks. As a reminder, Proximus and Fiberklaar on one side and Telenet and our NetCo called Wyre on the other side, have made significant progress on an agreement to collaborate on the acceleration of fiber across Flanders. I know this has taken quite a while, but the teams have been working very closely with local regulators, the BCA and BIPT really from the beginning, and we expect that they will launch a market test of our arrangement in September, which is really good news. In fairness, this is a complicated deal. So the right-hand side of this slide attempts to clarify for everyone what's going on here. To simplify, there are 4.1 million homes in Flanders and Brussels, about 1.4 million of those homes or roughly 35% are in areas that we would consider dense and urban. And in those territories, they're denoted in gray on the pie chart, both Proximus and Wyre will continue to build fiber on their own and compete as we currently do. But in the balance of the market, represented here in different shades of green, we will collaborate really for the benefit of consumers in the end. In the medium dense territories, representing 2 million homes or the lighter green on this chart, Wyre and Proximus will split the market up with Wyre building 60% or 1.2 million of those homes and Proximus building the remaining 40% or 800,000 fiber homes. But regardless of who builds where and regardless of which territories, all parties will use the same network for distribution of their services, which means that Wyre, for example, in those light green areas, will have 85% utilization of its fiber network and 100% market share of the wholesale business, again, on those 1.2 million fiber homes. In addition, and this was a bonus in the 700,000 homes that are considered rural, Proximus will use and migrate their customers to our existing HFC network. So we're really excited about this transaction, which improves on what is already a great story in Belgium. By the way, there are some additional value creation steps for us to take here, including creating unique capital structures for Wyre and Telenet, bringing new equity investors into Wyre and driving free cash flow at Telenet to ServCo from 2026 as CapEx starts to decline. So a lot of positive things in Belgium. Let me move to my last slide then, it's #7, I believe, which is really the main message I want to leave you with today. I started my remarks by repeating our mission, so to speak, and that's to create and deliver value to shareholders. Before we spun off Sunrise eight months ago, it was valued at around 5.5x EBITDA as part of Liberty Global. Today, as a Swiss public company, Sunrise trades at 8x EBITDA with an 8% dividend yield. Now looked at it in a different way. Prior to the spin-off, Sunrise represented about 20% of our proportionate EBITDA. Today, the market cap of Sunrise exceeds the market cap of Liberty Global, where the remaining 80% of that proportionate EBITDA resides along with over $15 of cash and growth investments. Clearly, there is a big disconnect here, and we intend to bridge that gap. Now you're probably asking the question, how do we do that? How do we continue to unlock value? Well, the simple answer is to continue separating out the parts. So we're sharing with you today that we are currently working very hard on how and when we might be able to separate out the remaining operating assets from Liberty Global. The rationale here is straightforward. It shouldn't be surprising to anyone. As I just said, the opportunity to eliminate that conglomerate discount in our stock is substantial. We've shown we can do it. And we have built in advantages to achieve that, that others don't. Whether it's our siloed debt structure or our tax position or our Bermuda domicile or our NASDAQ listing, we have a wide menu of options available to us, including spin-offs, tracking stocks, IPOs, et cetera. On the right-hand side of the slide, you'll see our portfolio of businesses and assets today, including Sunrise, which is now owned by all of us, the Liberty shareholders. We believe that over time, each one of these businesses can be tracked, spun off or listed, by the way, in multiple combinations. Now what's the timing here? And this is where I need to be careful and not to be too vague, but we believe we can complete one or more of these transactions in the next 12 to 24 months. But rest assured, as we get closer to definitive plans, we will surely let you know what those are. It's also important to say that these transactions are not dependent on any M&A, and that includes our joint venture markets. You can read into what I'm saying there. We don't need to consolidate to get these things done. The key takeaway is that the strategy illustrated here will not change. Our goal is to use all means available to reduce and essentially eliminate the discount in our stock, and I'm confident that we can do that. Charlie, over to you.
Charles Henry Rowland Bracken: Thanks, Mike. Moving on to our operating highlights slide, and starting with Virgin Media O2. In broadband, despite delivering our highest market share of gross adds during the quarter, net adds saw a similar decline to Q1, and this was driven by a continuation of higher churn due to the competitive pressures in the U.K. market, largely from the Altnets, as well as the impact of One Touch switching. Fixed ARPU was stable after four consecutive quarters of growth. In postpaid, the decline in net adds was primarily driven by lower value B2B disconnects in the quarter. But encouragingly, O2 postpaid churn fell year-over-year, and we continue to drive initiatives to improve performance going forward and see growing momentum on the giffgaff brand. We continued recent growth in mobile postpaid ARPU, supported by price adjustments, which were implemented from April. Moving to VodafoneZiggo. In broadband, despite the continued competitive fixed market dynamics, we saw encouraging early signs of the new strategy with a modest improvement in broadband net adds supported by lower churn through the quarter. On fixed ARPU, despite the front book repricing impact starting to flow through, ARPU continues to have some support from the prior year price adjustments. Postpaid net adds were again impacted by B2B port outs, though it's worth noting that consumer net adds did grow modestly in the quarter. And mobile churn also improved, including the impact of our B brand, hollandsnieuwe. Turning to Telenet. We returned to broadband net add growth, supported by improving churn and some easing on the competitive front. We continue to gain momentum with BASE's fixed mobile convergent offering, including expansion in the south of Belgium. And we delivered strong fixed ARPU growth driven by the earlier implementation of the price adjustment across Telenet from April, which was compared to June of the prior year. Encouragingly, we saw positive postpaid net adds during the quarter, leveraging base to defend against the impact of Digi's launch in the market late last year. However, Belgium mobile postpaid ARPU remains under pressure from the competitive environment, especially B brand price points in the market. And then lastly, turning to Virgin Media, Ireland. Broadband performance was impacted by an intensified competitive environment, resulting in higher churn during the quarter. Now despite this, our growing wholesale traffic is acting as an offset and supporting strong fiber uptake. Fixed ARPU also remains under pressure due to the pricing environment. And Irish postpaid mobile saw an improvement in performance following the launch of new mobile offers in May. The next slide sets out a summary of the quarterly revenue and EBITDA performance in our key markets. VMO2 reported a modest revenue decline of 0.4% on a guidance basis in Q2, which was primarily driven by lower B2B fixed revenue, whilst overall fixed and mobile service revenue remained stable. VodafoneZiggo reported a revenue decline of 2.4% during the quarter, mainly driven by a decline in the fixed base and the impact of the front book repricing, which was partially offset by improved monetization of Ziggo Sport and the UEFA content. Telenet reported a revenue increase of 0.6%, supported by growth in both cable subscriptions off the back of an earlier price adjustment and continued strong programming revenues. Moving to our Q2 adjusted EBITDA performance. VMO2's adjusted EBITDA grew 1.1% on a guidance basis, supported by lower year-on-year operating expenses. And VodafoneZiggo's adjusted EBITDA declined 0.1% in the quarter, driven by the fixed base decline and the impact of its new strategy and in particular, the repricing of its front book. Telenet's adjusted EBITDA grew 2.8%, supported by price adjustments and lower direct costs. The next slide provides an update on our key capital allocation metrics. Now starting from the top left, in the first half of the year, we saw cash flow generation in line with our expectations and with our full year guidance. As has been the case in previous years, we have limited cash distributions from the JVs in the first half, which tend to come in Q4. Moving to the bottom left, I wanted to reinforce a number of midterm free cash flow drivers. Firstly, there's no expected material U.S. tax expenses at Liberty Corporate from 2026 with the U.S. transition tax now behind us, and that's been around $100 million a year annual headwind. As we noted earlier in the year, Telenet ServCo free cash flow is expected to turn positive from 2026 as 5G and digital CapEx spend falls away. Similarly, with significant progress made on the Irish fiber-to-the-home rollout, CapEx is expected to fall from 2026, driving free cash flow back into positive territory at Virgin Media Ireland. Turning to our cash walk at the top right. Our consolidated cash balance sits at $1.9 billion at the end of Q2, down modestly from our Q1 closing balance of $2.1 billion. We saw outflows in the quarter related to continued investments in the Liberty Growth portfolio and the execution of our share buyback program. Moving to the Liberty Growth walk in the bottom right. The fair market value of our Liberty Growth portfolio increased by around $100 million during Q2 to reach $3.4 billion. This was primarily driven by the increase in dollar terms of our largely European currency-denominated investments as well as additional investments in EdgeConneX and Formula E. Additionally, the exit of our Vodafone collar position generated around $82 million in proceeds. Turning to our treasury update. We maintain a strong balance sheet position with our debt split equally between bank debt and bonds. We maintain a siloed and portable debt capital structure at our operating businesses, where the variable bank debt is fixed using independent swaps, allowing us to refinance the credit spreads on our near-term maturities, whilst also benefiting from the full term of the swaps. Across the OpCos, the cost of debt is around 4% to 5% with an average tenor of approximately five years. Now in general, we look to manage our debt maturities so that there are no material refinancing commitments over the next 2 to 3 years. During the quarter, we remained very active, completing an $850 million private tap to extend the 2028 maturities of VMO2, and we also successfully completed just over $1.3 billion of debt financing for the Daisy acquisition by VMO2, which closed today. In aggregate, we've completed $5.5 billion of refinancings during 2025 at attractive spreads. We remain opportunistic and flexible in our financing approach, and we intend to continue to proactively push out existing maturities to maintain tenor. Turning to our guidance slide. We are improving guidance on two metrics. At Telenet, we're tightening our adjusted EBITDA guidance, which we now expect to be low single-digit decline, which is an improvement and at the top end of our previous guidance range. And this has really been supported by a strong first half performance by the company. The revised guidance continues to include the tough comparator coming up at Q3 due to the prior year having a EUR 17 million one-off deferred revenue benefit in Q3 of 2024. And at Liberty Services and Corporate, we're upgrading our adjusted EBITDA guidance to be around negative $175 million as opposed to $200 million. We are reconfirming all the remaining guidance metrics of BMO2, VodafoneZiggo and Telenet. Now that concludes our prepared remarks for Q2, and I'd like to hand over to the operator for the questions and answers.
Operator: [Operator Instructions] The first question comes from the line of Robert J. Grindle with Deutsche Bank.
Robert James Grindle: I'd like to ask about Telefónica's comments on the U.K. NetCo. So is this just not a good idea for one of the parties, and that's it? Or is it an idea to be debated further? Why do you think the idea has not landed in Madrid?
Michael Thomas Fries: Thanks, Robert. Look, I think our partner has been pretty clear, and you can read into their remarks, they did their call the other day around their position on the ownership of networks, the financing of networks. And I'm not going to go back through that. But I would make this point, which is there are other ways to achieve some of the very same goals that they seem to be [indiscernible]. So we have a great joint venture called nexfibre together with Infravia. nexfibre is in the midst of building, has already built over 2 million fiber homes. It's well capitalized and represents a terrific vehicle for exploring Altnet consolidation, for example. There's a lot of strategic and fiscal cooperation that VMO2 can do with nexfibre. So I do see us playing a role in the consolidation, which was one of the main benefits of the NetCo project that we were exploring together. I think there is an open mind to playing a significant role in consolidation, just perhaps doing it through different vehicles and in a different manner. So as we get closer to having specific either transactions or structures to communicate, we will. But we have a very good dialogue on this front. I think there are many things about the NetCo strategy that Telefonica would agree with and other aspects, they don't. And so as good partners, we'll work to find the areas of agreement and head forward. So that's the answer.
Robert James Grindle: Got it, Mike. Is the HFC upgrade piece of the strategy still moving ahead?
Michael Thomas Fries: Sure. We are upgrading HFC homes to fiber at a relatively strong clip with economics on those upgrades looking very similar. Remember, today, VMO2 has about access to about 18.5 million homes, if you include the nexfibre homes in that number. And of those 18.5 million, 7 million are already over 7 million are fiber. So there's an 18.5 million footprint that VMO2 markets to today, of which 7 million are already fiber. It's a combination of nexfibre and our own upgrades at VMO2. So we're already a very large player in the fiber business in the U.K., and I expect that we will continue to get larger.
Operator: The next question comes from the line of Joshua Mills with BNP Paribas.
Joshua Andrew Mills: Coming back to Slide #7, which is a helpful outline of the rationale you're putting forward for taking more corporate action. Firstly, if you could maybe just clarify when you talk about timing in the next 12 to 24 months, is that focused on the Liberty Telecom assets? Or could we see Liberty Growth and Liberty Services assets monetize in some way first before coming to the telecom assets? And then secondly, if I look at the telco businesses, and you correctly point out that Sunrise created a lot of value. I guess that asset has a relatively stable revenue and EBITDA growth profile, visibility on the network upgrades and subsequent to your cash injection brought leverage down to 4.5x given that the leverage for VMO2 of if I just say go some way above that. And Telenet is in the midst of a big network upgrade at the moment, how many steps do we have to go through for each of these assets before they're in a position where they could be spun off in IPOs? And do you think that leverage or operational performance is the key thing you need to get in place before you take corporate activity on the Liberty Telecom assets?
Michael Thomas Fries: Excellent questions, all of them. And I'm glad we've got a chance to talk about it further. The timing -- and there are a lot of -- a few issues we're trying to dance around here. Our lawyers and our tax people want us to be very thoughtful about what we're committing to, what we're talking about because there are a lot of moving parts here. So without -- I'm not trying to be vague, I'm just trying to be careful. That's point one. 12 to 24 months seems like a window in which one or more of these ideas can come to fruition. As you rightly point out, it could be one or more assets in the growth portfolio. It could be one or more assets in the telecom portfolio in multiple combinations, depending on what makes sense. The main message here is that we do have the "technology" to be flexible in terms of figuring out which of these businesses and which of these assets presents the most realistic opportunity and the most value-creating opportunity. So that's the main point. In terms of your question around growth versus leverage, I think they're both important. Sunrise, as you well know, is not a high-growth business, but a very profitable business and committed to a dividend strategy that is quite popular and should be, especially among Swiss institutions, an 8% tax-free dividend yield in a market with 0% interest rates is pretty appealing. And in that particular case, it's worked well. I think the #1 thing on the operational side isn't so much growth at the EBITDA revenue line, but can you deliver free cash? Is there a dividend strategy with the telecom asset that can support long-term investor interest from that perspective. And I think all of these assets, as you well know, the bigger ones in particular, do generate free cash. Your leverage point is also a good one. In the case of Sunrise, we did delever that business relatively materially down to 4.5x. But it doesn't appear that, that investors need further delevering for that business to be attractive. So if we think that 4.5x is a good spot, then I think we have to be creative and aggressive in how we might get there. And I'm not going to be specific on this call about ideas, but we have plenty of them. The last point I'll make is we can spin an entire business or track an entire business as we did with Sunrise. We can also track or spin an interest in a business. And that's what I meant with my M&A comment. I'm not suggesting we would do it. But if we decided to simply track or spin our interest in VMO2, for example, we could do that and give investors an opportunity to own directly -- the shares that we own or an interest in the shares that we own in that business. Now I'm not suggesting we will do that. I'm just simply pointing out that there are a multitude of options here, which, in my opinion, is exciting because we know that there is a path to shrinking that value gap, and it's nice to have a lot of opportunities to do it in different ways.
Operator: The next question comes from the line of Polo Tang with UBS.
Polo Tang: I have a question on the U.K. for Lutz. So if you look at Virgin Media O2, it posted a second successive quarter of heavy broadband declines. But can you comment in terms of your view in terms of what has driven the declines? And how optimistic are you that the level of broadband declines can reduce going forward? So do you need to accelerate the upgrade of the cable network to fiber? Do you need to accelerate footprint expansion with nexfibre? And what have you seen in terms of broadband net adds in July?
Michael Thomas Fries: Lutz, go ahead.
Lutz Schuler: Yes, sure. So I mean -- so your observation is right, right? Second quarter, we lost as much fixed customers as we did in Q1. The only driver for that is churn. So our share on gross adds are pretty strong, and this is across nexfibre and our existing coverage. So we absolutely don't have a sales problem with a churn challenge. The churn challenge comes from predominantly [ ONE ], which in combination with a very aggressive competitive market, right? As you might know, competitors are paying GBP 300 to really buy a customer out of the existing contract length. And therefore, customers join less retention, they are leaving us before even talking to us. And the reason for leaving is only one with price. That is the only reason. So we are not losing a single customer because of technology. So what are we doing? We are -- we have put together a very sophisticated retention machine, which led us to the fact that we have been growing ARPU over the course of the last 18 months in this market, sitting on the highest ARPU in this market. And now we have to create a similar successful prevention machine because we simply have to extend customers into customer lifetime value into new contracts. And this is what we are doing. So a significant number of customers now are sitting in a minimum contract length and also a minimum contract length exceeding six months. Your last question, how was July a bit better? Yes, but it is still tough. And we are not giving a guidance, as you know, right, on fixed net adds on a quarterly basis. But what I can say is we're getting our arms around in the prevention machine. We have more customers within the minimum contract length, and we are confident that we will stabilize the situation. I hope that helps.
Operator: The next question comes from the line of Matthew Harrigan with the Benchmark Company.
Matthew Joseph Harrigan: I was just curious what you see on the broadband consumption front that is driving consumer utility and pricing power, maybe as AI agents, live sports, streaming, gaming, low lag apps. But do you see the consumers being more facile in the use of broadband? Or is it fairly plain vanilla? And then secondly, as you're well aware, I mean, Charter has had some postponements on DOCSIS 4.0, really talking about some of the expensive network requirements. Clearly, I guess, your network topology in the Netherlands is very favorable. And as people know, it's very dense population and flat topology, but it's still pretty striking that it's 90% less expensive than doing fiber all the way. It seems like a bit of an anomaly. Could you just clarify that?
Michael Thomas Fries: Sure, Matt. On the broadband consumption side, it's interesting. I know we don't have the chart here on the deck or in the appendix, but I would say consumption, both on mobile and on fixed is not growing as fast as it did historically. Consumers -- I'm not suggesting consumers have stopped or in any way don't have a lot of things they want to do or continue to do or do more of. It's just that whereas before we might see a 20% to 30% increase in consumption, particularly on mobile. I think the consumption patterns are leveling off a little bit. Now they might spike again with for all the reasons that you indicated, whether it's streaming or apps or things of that nature, it's very possible. And that's a good news story for us because it's giving us the ability to provide greater quality, perhaps invest tiny a bit less in capacity, and we'll see how it transpires. But we're at a moment now where that rapid appreciation or increase in consumption is starting to level off just a little bit. Our pricing power really comes from the quality of the network we provide and the speeds that matter and the apps that people want to use, they want them to -- they want it to be quick, fast, lightning fast. And so that's really what they're paying for versus massive consumption or knowing even how much they're consuming. On the DOCSIS 4.0 side, I'm happy to let Enrique chime in here. There are quite a few differences between the U.S. and the Netherlands. I mean, we already start, for example, with an 862 megahertz network and getting 1.2 megahertz is not as complicated, and we will get our way to 1.8 megahertz. So the network upgrade piece of it is not in any way complicated for us. And we believe we're getting access to the right equipment and the right technology on a timely basis to start trialing and rolling out sometime next year, speeds up to [indiscernible]. Now we -- the other benefit we have, which I think Charter and Comcast take advantage of as well, is the ability to squeeze more capacity out of the DOCSIS 3.1 network and perhaps get all the way to 2 to 3 gig. And that's a pretty good number for most consumers. So we're not -- we feel pretty good about the time frame and the cost envelope, which is essentially happening within our existing CapEx allocations. We don't see a massive spike in the CapEx costs here. And I don't know, Enrique, you want to add anything to that, in particular or Stephen, the relative cost of fiber versus DOCSIS 4.0 in the market.
Enrique Rodriguez: Yes. Nothing really to add. I mean we've been together with the other CableLabs members developing the technology over the last few years. We're pretty confident we've done live demonstrations of DOCSIS 4.0 in the VodafoneZiggo network. As Mike pointed out, we're not going all the way from where we are today to DOCSIS 4.0. We are also doing upgrades on 3.1. So we're pretty confident these numbers are accurate. And as you pointed out in the question, the VodafoneZiggo network is quite friendly to the upgrade. So we're certainly taking advantage of that.
Matthew Joseph Harrigan: And if you don't mind, one follow-on actually prompted by Lutz's -- sorry, to Lutz's earlier answer. I mean you can see in the U.S. on postpaid, I mean, T-Mobile is just ripping away share for various reasons and you dominate the switching share in kind of the matrix and it's kind of like a very happy fluid dynamics problem. But I don't understand with all the stresses in the U.K. on the economy and the financial condition of the Altnets and CityFibre doing what it just did, how can people possibly be willing to pay -- I assume $300 million -- not $300 million, $300 of a customer's contract. I mean this just doesn't seem like economically rational behavior. And it's not like people haven't had a lot of time to figure this out. It feels like some people are pretty slow learners here, sorry.
Michael Thomas Fries: Yes. I mean, go ahead Lutz.
Lutz Schuler: Yes, sorry, sorry. Especially Altnets are under pressure, right? I mean cost of capital is high. They have to refinance and investors are desperate to see higher usage of the network they have built, which is nothing else than penetration. And they don't have anything other than price, right? And so what they do is they come up with very aggressive pricing and they are buying customers out of existing contracts. And if you are on your back foot, this is what you do. It's absolutely -- I agree with you, it is not a long-term sustainable position for the market, absolutely not.
Operator: The next question comes from the line of James Ratzer with New Street Research.
James Edmund Ratzer: As you've given some hints around kind of cash flow generation for 2026, where you're kind of calling out changes in CapEx at Telenet and in Ireland. So I was wondering if we could just dig into that in a bit more detail to understand the magnitude there. I think you know, Irish CapEx currently running around EUR 180 million a year pre the fiber upgrade, it was at about EUR 80 million. So do we kind of fall back to that kind of level? And then in Telenet, because we -- I mean, you're saying that's going to go to free cash positive in the ServCo, but we don't have guidance on the NetCo. So I think total CapEx this year for Telenet is going to be around EUR 1.1 billion. Where do you see that going to next year?
Michael Thomas Fries: Well, I appreciate the question. James, those are good ones. I'm pretty sure we're not going to be able to give you guidance for 2026 on this call. But Charlie, do you want to manage that?
Charles Henry Rowland Bracken: Yes. I mean, to be honest, I'm afraid it's almost like saying, give us guidance for '26. It's just too early. I do understand why you'd want to know that, but we have to be allowed to go through our planning process. But what we can say is that certainly in the case of the Telenet ServCo, which I agree, we haven't clearly shown the separation. That's one of Mike's referenced in his slides. We have seen the peak level of CapEx, particularly on 5G and also on digital. So there should be a positive free cash flow profile from next year onwards.
Michael Thomas Fries: Same with Ireland...
James Edmund Ratzer: Maybe another way is -- sorry, another way, you say 5G digital CapEx fall. I mean, how much should that fall by if you're willing to make the comment in the presentation -- Irish FTTH.
Charles Henry Rowland Bracken: Yes, we're not going to give you the specifics. I mean these are directional statements. We clearly understand why you want them, we're not trying to duck it. But you have to understand we've established a principle of not giving forward guidance in the middle of the summer for the following year. We have to be allowed to go through our processes and make some strategic decisions as well.
Operator: The next question comes from the line of David Wright with Bank of America.
David Antony Wright: So I guess just following on from Joshua's question, I believe it was in your answer, Mike. I'm just trying to think about these opportunities for tracking, spinning, IPO or evolutions of that. You did mention, I think, Mike, that maybe analysts were not recognizing or penalizing you guys on the sort of cable side of network versus fiber. I'm just thinking it was clear, and you alluded to this, that the Sunrise asset always had a real fighting chance because of the interest rate environment in Switzerland, but that is quite unique. Why do you think analysts would value any of the other assets any differently from where Liberty Global is currently? I appreciate that the market is a lot smarter than analysts. I'm not going to argue that one. But what do you think creates value when these assets come out of the Liberty Global Group? Is it maybe just that a lot more European PMs can buy them within their mandate? Is it just a technical kind of opportunity there instead of buying the U.S. list? Or what gives you confidence that the markets would value these assets any higher than they currently are in the Liberty Global Group?
Michael Thomas Fries: I think it's a few things, David. I think it's a few things. Number one, you pointed it this. There is a demand among European institutions to own either pure-play or local telecom assets. You see that across the board. As a NASDAQ-listed company, we were able to attract some of those investors, but many don't look at it either because it's perceived to be offshore, not onshore or perhaps has a layer of complexity that makes it challenging for them to assess value. But when you can create a pure-play telecom asset as we did in Switzerland, I think, number one, you start to look at peers more in a different light. While Swisscom is an excellent peer, KPN might be even better, trade at 9x EBITDA. And when you line VodafoneZiggo up to KPN on almost any operating metric when it comes to physicals or financials, it looks pretty good. What are the differences? The difference of the balance sheet, of course, you've already raised that point, leverage and squeezing free cash flow out of the operations. And I think those would be only two hurdles to a higher multiple on VodafoneZiggo, for example, as a pure-play stand- alone business, I'm pretty sure we can find a way to improve that. Second big difference is investors in Europe and investors of European telecom assets like dividends, clearly, and that's most of our peers, if not all of our peers, pay a large dividend. Sunrise is demonstrating that an 8% dividend yield even with that high yield, it's trading at a great multiple. I think the dividend yield at KPN is maybe 5%. So can you generate enough free cash in these businesses to adopt a capital markets strategy or a balance sheet strategy that delivers dividends to investors on a reasonable, predictable long-term basis. Those are not hard equations to solve when you have stable businesses as we do. I understand it's not immediately obvious how we do those things. But trust me, when I say that to put a slide like this up on the screen implies we believe we have a path in each of these instances to create a story that will be -- should be appealing to investors. And that's how I'd leave it.
Operator: The next question comes from the line of Carl Murdock-Smith, with Citigroup.
Carl Murdock-Smith: I was just wondering if you could expand a little bit more and talk about your turnaround in VodafoneZiggo and early evidence both competitively and operationally in terms of how that's going. Wondering if you could talk a bit more.
Michael Thomas Fries: Sure. I'll let Stephen do that. We didn't -- I don't know if you're on for the remarks, but there's a whole slide in the deck on this. But Stephen, why don't you add some more to that?
Stephen van Rooyen: I think the slide that you published, Mike, earlier in the slide deck is probably the best summary of it. So we've got four specific areas that we've looked at as I came into the organization. We've tucked in behind each of those four. We've reset our organizational model. It gave us an opportunity to take some costs out as well, which we needed to do, specifically pointed at being more aggressive in the marketplace. I think over the last couple of years, we've taken a step back from that. Secondly, as part of that, getting broadband pricing right for the market, I think we're at a kilter with the marketplace and getting that as a first step right was important. Like Lutz, tackling the churn problem. We don't have a gross adds problem either. We have a churn problem. Part of the solution set there was fixing our pricing, but also fixing our trading practices and our contracting. You are seeing the green shoots. May and June were pleasing to us having implemented much of this in April and May. The overhang of are we good enough broadband network, we've taken away. We're fully back in the plan to roll out HFC. We've got an aggressive plan, I think, over the next 18 months to land at. And then I think we were short on marketing. We were short on positioning the Ziggo brand where it needed to be back in the net connectivity world. We were short on investing in FMC, which you'll see coming soon. And we think there's great opportunity for us to attack with hollandsnieuw. We think there's a market space for us to go after that. So I think just tightening everything up, being more focused and bring an organization behind a plan that puts us, as I said, on the front foot and in the attack, and that's where we are today, and you'll see more from us over the next 12 months.
Carl Murdock-Smith: And then just as a follow-up, kind of just looking at the voluntary redundancy scheme that was announced the other day and then also the improvements in the services and corporate guidance today, should we be drawing a line between those two things or not? And given the timing within the year, could that potentially mean that next year could see further improvements within that kind of services and corporate EBITDA line?
Michael Thomas Fries: Yes, I want to be really thoughtful on commenting on internal restructuring or employee matters as they should be, that article was obviously not authorized by us. But suffice it to say, the trajectory we're trying to illustrate here is a good one. And there are lots of tools in the toolbox to ensure and deliver an operating structure that is more flexible and more aligned and fit for purpose. All that really means is, yes, I think you can assume that over time, we will be through either new revenue sources or new operating models, we will be providing to you guidance for that number, which is lower and lower and lower. So I do think if you're one of those analysts that puts a big multiple on it, I would get the pencil out, start determining on your own what that number could be, might be. And hopefully, that's a tailwind to your target price. I think we have time for maybe 1 or 2 more operator.
Operator: The next question comes from the line of Steve Malcolm with Rothschild & Company Redburn.
Stephen Paul Malcolm: I want to come back to the U.K. and maybe a sort of slightly less your question. But clearly, your churn is a problem. Part of that, I guess, has always stemmed from the fact that you don't cover the entire U.K. And it seems like your ambitions to do so have slowed a bit in the last 12 months. I mean nexfibre is being thoughtful, I guess, on whether to deploy fiber in areas where there are already two providers. You talked about the consolidation. I guess it's a kind of 2-part question. One is, is it something you give a lot of thought to is how you bridge that gap? Openreach covers 30 million lines, you cover 18 million. And then secondly, what -- how do you think about the opportunity of bridging that gap? And would you consider -- you haven't wholesale from Openreach for a while, but it seems a pretty obvious step given the mismatch between your fixed and your mobile footprint to do so just to sort of expand your addressable market and possibly deal with some of those churn -- natural churn impediments you face. Just curious to know your thoughts on that.
Michael Thomas Fries: Thanks, Steve. It's the right question, and it's a good one. As you point out, we do reach 18.5 million homes. It's not the entire marketplace. Obviously, we do look at other means of reaching another 10 million homes, let's say. And I'm not going to be specific on this call, except to say it is the right long-term strategic move for VMO2 to be a national player on fixed as it is in mobile. How we get there, with whom we get there, those are more technical questions, which I'm not going to get into this morning, but you're right to ask us about it, and we see it similarly.
Stephen Paul Malcolm: Okay. So -- and all options are on the table, Mike, in your consideration. Is that fair?
Michael Thomas Fries: Yes. I think, one more question operator.
Operator: The last question comes from the line of [ Albert Rat ] with Bernstein - Société Générale Group.
Unidentified Analyst: My questions -- most of my questions have been answered. So let me ask this. Mike, I think in your prepared remarks, you said you would actually frame the exit from Vodafone, but maybe I missed it, but could you just frame that for us a little bit, how you look at what happened there, why you exited at this point in time and give us a context.
Michael Thomas Fries: Sure. Sure, sure. And I will say right upfront, I don't necessarily want you to assume that the reason we've exited the position is because we don't have faith in the stock or in Margarita, that's not the case. We just have to look at what's the best use of our capital. We had really limited exposure to the stock given the collar structure of the position anyway. And there was not much strategic value in the end to the position. So I think it's the right move for us to put our capital into the best possible use. And in this case, I don't think that long-term holding was achieving that. So that's really the only color I can give you on that.
Unidentified Analyst: So is that a change -- when you actually bought it?
Michael Thomas Fries: Not necessarily. I think we didn't know at the time what the future held. We were optimistic perhaps that there might be more tailwinds and a different result. But in the end, just like you, we have to make decisions about our -- where we put our cash every day. And this is just a decision that would put more in that category than any sort of long-term strategic view of Vodafone as a company. Anyway, I appreciate everybody joining the call. We're after the hour here. The markets are challenging. You got that message, but we are not sitting still and the management teams you're listening to here really are on their game, investing, innovating, winning. And lastly, just our value creation -- value creation is our North Star, we'd like to say, right? So it's shareholders' turn here to try to see that value creation realized -- we got a lot of optionality, as we pointed out. We will look for the executable strategies and communicate those when they become executable and clear. And whether we succeed in those or not, they will lead to outcomes, which I think is exactly what we need to do here. So one way or the other, we're really confident about the opportunity to create value for you. Hope you have a great summer, and thanks for joining, everybody.
Operator: Ladies and gentlemen, this concludes Liberty Global's Second Quarter 2025 Investor Call.